Peter Harrison: [Starts Abruptly] Half Year Results 2017. I gather today is the busiest reporting day in history. So thank you all for coming. I will do normal thing of going through the high level results and flows, which will give you the detailed financials and then do some Q&A. Perhaps just a word of context before we get into the numbers, it feels like this is a moment bit of a crossroads in the asset management industry where half the firms are going towards transformational mergers another firms are going in opposite direction. We very much feel that we've got sufficient scale, sufficient diversity not to need to do transformation transaction and take you through some of the reasons why that is today, but I think that context is important as we look at the figures. First of all the headlines. You've seen the actual numbers, but net income was up 17%, profits before exceptional are at 23%, and dividend up 17%. I think for me the two more important numbers on this page are the cost numbers, we cut our cost to income ratio from 64.9% to 62.8% despite the number of new initiatives going on and Richard will talk more about those, but I think that's an important point to make in terms of cost control. And the second was that positive flow number, and the number of you picked up that we had a large individual outflow £5.8 billion in the U.S. during the first half. These numbers were - those volatile things happen from time to time, but these numbers were despite that outflow coming through being recorded. Well does that I'll go through into the individual flows of the areas. Although I would say we see these as an increasingly blunt way of looking at the why our business is performing, because you've got very different types of assets coming in, you've got an LDR mandates on single figure basis points and some mandates are 10, 15, 20 times that so we will be looking to try and improve the way and which we talk about the dynamics of business overtime, because I think flows are not best measure though I appreciate your community to have primary tool. Overall picture for Institutional and Intermediary, Institutional had slow positive flows in £1.4 billion that was in the U.S., in Asia and in Europe, Intermediary so outflows of £1.2 billion predominantly driven by the U.S. and wealth management saw a better tone this half year of inflows of £600 million, and I was particularly skewed towards the UK where we saw a much better flow picture. If I just look at that last half year in more detail between Institutional and Intermediary. Over the half year periods, the picture looks like that and you can see the dark blue section £1.6 billion into Institutional, the yellow section, which is £4 billion into branded Intermediary and well from top of that and then this very large outflow £5.2 billion in sub-advised mandates of which one client was the £5.8 billion, so a very big skew. But the underlying performance we feel across the regions was more positive. If we look at that by asset class, fixed income continued to the form, the flows into fixed income well across pretty well all the investment vessel one or two small exceptions, but the flows broadly across our fixed income part form and that was despite the slowing down of flows into our credit funds, which we did earlier in the year. Multi-assets saw outflows for the first time in a long time. The underlying flow extra one was at inflow of £4.3 billion of net new business. But we did see an overall outflow recorded in the books. Equities were the small negative that's made up of £2.4 billion of outflows in Institutional equities and £2.1 billion of inflows in branded equities. And of that Institutional outflow the vast majority of it was in Australia, whereas some of you may be aware we were able do big business and be the dynamics of that market have been changing and more internalization of assets et cetera. So the equity business on the branded side have been positive, but on the Institutional side been more impacted. If we just look at that by region bit more detail, you can see the strong performance in the UK, UK flows in total like I can go to the £3 billion split roughly £1.6 billion the UK Intermediary and £1.4 billion for UK Institutional. Europe let's say was about £0.8 billion predominantly Intermediary and Asia was £0.8 billion and that was a very positive impacts of Japan, China, small contributions in Hong Kong, Singapore, Taiwan and negatives from Australia. European Intermediary was a positive, as I mentioned European Institutional we had a couple of individual outflows, which tips European Institutional negative, but overall it was £0.8 billion. The feature of that shot is obviously the negative performance in the Americas and as I've said to you last time we were here, I expected American flows to turn around so that yellow bar is talking about, which is the next chart. And you can see that, those two very different trends going on in this next chart, this is U.S. flows over the last five years, again with dark blue is the Institutional flow and as we rebuilt our sales force and entered new sectors like the Taft-Hartley union sector, we've seen good flows in Institutional. We've talked in the past about our new relationship with Hartford selling branded funds that came into a cat into effect of the end of October last year, the effect that starting to come through and you can see in the yellow bar the branded Intermediary sector in the U.S. now started to quite well, the full effect of that isn't at all, there were still some distributions of Hartford, which haven't yet started coming through, so we expect that yellow bar to continue to perform well. And going forward we feel that the underlying piece of the U.S. is out and without wishing to cause special pleading the U.S. flows very much focused around that one gray bar of the bottom. So I think there's a real - we do feel as I mentioned has changed in the U.S. and we're on a growth trajectory. Just looking at that in a little bit more detail between Institutional and Intermediary and the U.S. this next chart you can see the flows in Institutional were surprisingly equity or entices the death of active management in the U.S. is slightly too early to call that one we saw good flows in equities, we saw good flows and most the assets particularly in north of the border in Canada. And actually relatively muted flows in fixed income and what I would say in fixed income is that I see that as a big opportunity looking forward, if you think about the U.S. DB market is the largest Institutional defined benefit market in the world, what the UK has been through in terms of de-risking has been industry leading in a global context and one of our big exports is teaching pension funds how to de-risk that funds and I think we would expect to see more fixed income activity in the U.S. as the U.S. pension fund cycle goes through into de-risking. Conversely on Intermediary branded side, we've seen good flows and directly follow up which are primarily the funds to the top for the promoting in the Intermediary sector. So that's the picture in North America. Strategically, I set out in the past seven areas of growth that we will focused on, developing one of the most obviously the U.S. one of them was turning around our wealth management business, which you see we've made good progress on. And the other one was building our private assets, and for me this is really an important initiative. We see more and more client's assets going towards the private asset sector, probably as a result of the banks not functioning well and private asset markets probably as a result of them wanting a higher carry for less liquidity, so as clients move that way we want to move our business that way. We've got 20 billion of assets today, $20 billion of assets today in private assets. We want to grow that and we arranged it now and the one leadership pulling all those things together. That's important because when you go see a client you want to take a franchise and you just want to say take an individual product and to sell them. We've announced the acquisition of Adveq, which is an important strings of the private assets though, Adveq is a private equity solutions provider though secondary is those turn around, those co-investment. But importantly it plays the smaller mid end of the market where big marquee names don't play, and it allows, so if you're a major product equity investor in the U.S. you will give your allocations to the KKR, Blackstone and Palos, but when it comes to accessing smaller managers, you tend to get a specialist and that's the area of the Adveq plays. Is got a great performance, it's got a very high quality client base, particularly Switzerland, Germany and the U.S. And I would say that since we've announced the acquisition, we've seen the business continuing to perform very well very, very high levels, which gives us good confidence for the momentum in that business will carry on. We expect that transaction to close very shortly. It was subject to very few people no longer is, so just we just from finishing of the final steps towards closing. So building private asset business important to us and Adveq is a step along that way. Now I'll hand over to Richard, who will take you through the detail financials and I'll come back talk about outlook in Q&A. Thank you.
Richard Keers: Thank you, Peter. So good morning, I'm pleased to report that we have again delivered a strong set of results net profit is up 23%. I'll take you the drivers in a moment, but first let's look at the highlights. Net income increased by £140 million or 17% to £974 million. We have a total cost ratio of 63%, which is two percentage points better than the same period last year. Thanks to this increment and the greater net income we delivered profit before tax and exceptional items or £361.5 million. We're estimating a full year tax rate of 21%, which is slightly higher than the 24.5% we had last year, the increases driven by strong profit growth in higher tax countries including the U.S. and Japan. That means the tax charge of £76, which takes a profit after tax before exceptional to £286 million. Exceptional items were £16 million bring us to profit after tax of £270 million an increase of 21%. Okay, first let's look at what's behind the increase in net income. Starting with acquisitions, these increased our net operating revenues by £17 million. We acquired the wealth management business to C. Hoare & Co in February this year. This contributed £8 million to the increase with the rest from Benchmark Capital and the Securitized Credit business we acquired in the second half of 2016. The biggest change to revenues came from markets in FX, which together increased net operating revenue by £151 million. That's driven by £78 billion increase in average AUM partly offset by the decline in our revenue margin that we had anticipated. Net sales this year and last year together reduced operating revenues by £9 million. However the mix of flows this year has increased revenues by £6 million was the mix of last year had a negative impact and reduced revenues in the first six months of this year by £15 million. This isn't always easy to understand, so let me expand for a moment and how we think about flows. One of the key measures we use when looking at new business is whether it increases our annualized revenue. That's the matter of revenue that the AUM generates over 12 months period. Our small positive inflow in the first half of this year of £800 million generates annualized revenue of £20. That's the net impact on revenues of our gross inflows of £52.4 billion being at higher margins than the outflows of £51.6 billion, is driven by the strong sales of generated through our branded Intermediary business that Peter just talked about. As I just mentioned about £6 million of that revenue is included in our results to date, however from a modeling perspective, what you need to know is our AUM and the likely net revenue margin that we will generate from that AUM. With that in mind the guidance I'll give you take into account our annualized revenues on existing flows will change the rates along with some estimates based on how we see the year progressing. I will share with you our latest thinking on margins in just a moment. Performance fees were up £6 million compared to the same period of 2016 and we saw a small decrease in other income. Altogether that means a 17% increase in net income to £974 million. So let's look at this by segment and channel. Starting with Institutional. Net operating revenues were up £57 million, £7 million of that increase relates to performance fees. The other £50 million was driven by higher average AUM, which was up £45 billion. That's the combined impact of fourth things, markets, FX, new business, and the acquisitions we made in 2016. As I have previously explained, we've seen a change in the business mix with high demand for lower margin fixed income and multi-asset product. In March, I highlighted that this trend could cause margins to fall by one basis point in 2017. We have already seen that decline come through with Institutional margins folding to 31 basis points. Looking forward, we may see margins move from here, but we don't expect that to be significant. Importantly, we are continuing to build scale to increase operating revenues and grow profits with AUM at a record high of just under £240 billion we're well positioned. Turning to Intermediary. Net operating revenues were up 17% to £437 million. That's driven by £23 billion increase in average AUM. That includes combined impacts of markets FX and acquisitions. It also included net sales, which is as you just heard from Peter were negative in the first half this was due to the loss of a large sub-advised mandated low margin with positive sales into branded products. Revenue margins declined by just over two basis points to 71 basis points this was due to the changes I highlighted in March. Reflecting ourselves and the positive markets we've seen in first half, we're now forecasting full year margin to be around 70 basis points. That's one point basis point higher than the guidance I gave you in March, and is mainly due to the annualize revenue impact of the sales in our branded Intermediary business I just talked about. Moving to Wealth Management. Net operating revenues were up 22% to £131 million. That increase was mainly driven by management fees, which were up 28% to £99 million. Remember our Wealth Management business segment now includes Benchmark Capital, which we acquired in December last year. We generated £5 million of operating revenues from Benchmark in the first six months. Excluding Benchmark, the increase in management fees was driven by higher average AUM, which is up 19%. Net banking interest was up 7% to £11 million. We've also seen an increase in transaction fees, which are activity-based although that's been offset by a lower performance fee number compared to last year, which included a large one off. Revenue margins were 62 basis points that's down three basis points and it's entirely due to the inclusion of Benchmark's results. At this stage we expect margins to be around this level for the full year. Right, let's now look at operating expenses. Comp costs and the biggest component of our cost base and make up a little under 70% of the total. We've include comp at 44% of net income that's 1% lower than the same period last year. The decrease reflects our continued focus on cost control. If market conditions remain unchanged, we do not currently see any need to review the ratio from here, but this will be reviewed later in the year. Non-comp costs were at £19 million turned in £85 million. I think it's a lower than that then you might expect from the guidance I gave you for the full year, but that's simply due to the timing of costs, and we are still forecasting £380 million for the year as a whole. The increase compared to the same period in 2016 is mainly down to two things. FX and acquisitions. Starting with FX, just under half of our costs are incurred outside the UK; the weakening of sterling has increased these costs by around £9 million. The rest is mainly due to the acquisitions we've completed over the last 12 months. So our total cost ratio, a key performance measure for us has improved from 65% last year to 63% in 2017. That demonstrates good cost discipline, but importantly what you need to understand is that we have delivered that reduction while investing in transforming how we run the business. Technology is one of the seven areas of growth that Peter has talked about in the past. We've been doing a lot here, and I'll spend a moment now outlining some of what we have done and what we are doing. We talked about before about changes to the investment platform this is on track and will provide a scalable platform, capable of managing the increased investment complexity particularly within a fixed income and multi-asset businesses. And we have continued to invest significantly in our data insights team, I think our new dimension to our traditional in-house research capability. We've implemented a new CRM system and consolidated investor websites providing us a greater depth of understanding of current behaviors and helping us to deliver the right solutions for their needs. We have six new data centers in London and in our other principal protein centers providing us with the IT infrastructure necessary to manage the increasing volume and demands for data. We're investing in robotics, helping us to automate routine tasks, supporting ability to build scale and releasing our people to focus on supporting business growth. We should also know that we are moving to new head office next year, and the past two years we have moved into new locations in both our Singapore and New York hubs. These are important moves for us, increasing capacity, rejuvenating our work space and supporting our drive for collaborative working practices. Furthermore, as you know, registry demands continue to be significant with the current focus on MiFID II and EMEA. We are delivering a lot of change significantly driven by us and significantly required, but all of that has been absorbed within the lower cost ratio that we have delivered today. The pressures on costs will continue, as we explore new markets and provide new products, but we are focused on maintaining good cost discipline as we invest in future growth. Finally, we've had £16 million of exceptional operating expenses these rates almost entirely to the amortization of the required intangibles. We were budgeting for exceptional of around £30 million, but this will increase with the Adveq acquisition to around £35 million. Finally, let's turn to capital. As you all know, we have a strong capital position, and we see this is a significant competitive advantage. Equally, we've recognized importance of putting us capital to work. And you're seeing over the last 18 months we are doing just that. We look at our capital base in two ways. Firstly in terms of our available surplus, but we also focus on our available liquid resources. This is the capital that has been released from the operating businesses and is held in liquid investments. We separated these two views in a new presentation you can see on the screen. To left you can see how we focus in available surplus and to the right how our capital has been deployed and the available liquid resources. So we have a capital surplus on just over £1 billion. Remember regulatory capital will go up at year end when the capital conservation data that I mentioned in March will increase again by around £50 million. That will reduce the capital surplus the second half profits and other movements such as completing acquisition Adveq will also have an impact. So available liquid resources are slightly lower than our surplus capital at £820 million, these are available spot acquisitions, organic growth including seed capital, which has increased to £409 million and may rise further in the second half. We managed both our capital surplus and the liquidity carefully to show that we have sufficient resources available to support our growth agenda. Overall, we still maintain a strong position and as I've already said we see this is a positive. So in summary, net income was up 17% to £974 million to that I think context is more than increase for the whole of 2016. We continue to invest in the future the business with a number of strategic initiatives to transform working practices and capabilities. We delivered these changes whilst continuing to maintain good cost control with total cost down two percentage points to 63%. That's allowed us deliver 23% increase in profit before tax to exceptional items with basic EPS up 22% to 103.5 pence before exceptional items. So as a result of this strong performance we have increased our interim dividend by 17% to 34 pence per share. I now hand it back to Peter. Thank you.
Peter Harrison: Thank you all. Before going on to the outlook just very quickly, we go to an Investor Day in the direct for the first time for a long time 3rd of October, an opportunity if you not just heard from Richard and I, but to the number of people from around the business, general subject to people's days that will cover all the key regions particularly, Asia, Europe where we wanted to go into the next level to detail on different countries. Couple of our key franchise [Technical Difficulties] assets will always ask for discount. But that's the market system working, I don't see that changing materially and we don't see that becoming a bigger future elastic future overtime. It may become so, but it doesn't feel, but that isn't materially different at the moment. I should just add that we have a small platform business within benchmark. So we will be responding to the regulatory response on platforms.
Q - Arnaud Giblat: Hi it's Arnaud Giblat from Exane. I've got three questions please. Firstly on the cost of income of possibility change of though most progress has been made in wealth management over asset management, I was wondering if you could maybe unpick of what's specifically as driven of that possibility in wealth management? Secondly, in terms of the longer term outlook, you give some information on Slide 3 about Intermediary outflows it seems as branded funds have been selling better in Intermediary at expense maybe sub-advised mandates, is that a trend that we should expect to continue and maybe if you can give us maybe a bit more disclosure around the difference in fee margins in both sub categories? And finally, you've mentioned there could be more appetite for further bolt-ons, which areas are you building house? Thank you.
Peter Harrison: Richard, you want to take the first one wealth management plus asset management?
Richard Keers: Yeah, wealth management is lastly that scale. So we kind of eventually efficient engine back office in space and that's a different question, but it is scalable, and we have added the C.Hoare & Co business without taking on any other back office resources, so it's been given by increase scale from a nice front office bolt-on. And we've also got benchmark within wealth management now as well and benchmark is driven good growth.
Peter Harrison: Just taking the second one, in terms of the outlook for us is a branded versus sub-advised, it's a good point. Our branded flows were £4 billion, our sub-advised flows were minus £5.2 million, which is minus £5.81 million time and only plus £0.6 million for sub-advised. And I think point I made those sub-advised can be a little bit more like Institutional in terms of the lumpiness of those flows, because they tend to sit in those, so that's part of V.A. program in the U.S. it might be a very specific product and so they don't follow the general trend of branded. One of the one of the points I made earlier was that we see flows as a quiet of blunt measure to understand our business and giving you more granularity of revenues and the different subsectors within those channels, I think is important as we go forward, we're looking at how we can do that. But so you're right branded perform better, but I would think sub-advisors can't move a little bit more like Institutional in a blunt way, so that absolutely right. There's difference in [indiscernible]
Richard Keers: Arnaud was your question on Institutional key margins, I think, I said we've even to tell you one basic points and got that probably a little bit area than we thought and those things be a significant change for the rest of the year. On Intermediary if you get back to the guidance I gave in March, we were at 72.6% last year, we had UK, we have transfer agency changes which is down 0.9%, UK unit trust transaction revenues off 0.8% and flow straight mix another 1.7% is what we are forecasting. So we were anticipating 69.2% these numbers I gave you previously. If I compared that today that little changes in mix, so everything is the same until that last negative 1.7% and we see that moving to negative a half. So giving a forecast best guess of 17.4% versus previously we were at 69%.
Arnaud Giblat: I just want to get to the size of Intermediary branded and certain points.
Richard Keers: As Peter mentioned, we're looking at providing you greater disclosure in the future between some sub-advised and branded, but we haven't shortly done that and that's something we're looking to do at year end.
Arnaud Giblat: Okay. And on bolt-ons, I think this two or three things, we have some simple rules there must be culturally aligned with what we do, and I think uranium business is a reason that culture alignment is a real risk in this industry, so a cultural line secondary showed us this bring something positive. And so when we bought businesses in, you tend to see an acceleration in the growth rate rather than an efficient and that's not often the case in M&A in this sector, but you tended to see that you see that again without that people see what we can bring is a positive not negative. And in terms of the areas that would like to be and I think we're looking in other private asset segments and corners of the market where we don't currently have an offering where clients saying we see long term to non-trend, so that's particularly in the non-public debt areas where there's clear - the banks have treated, if you want to fund a long term infrastructure project now you tend to go to asset management insurance companies you tend not to go to banks, and I think that's an area where there's good long term growth. So financing infrastructure, financing real estate, financing growth in real estate, we've got insurance and securities, I think is more we can do there around long time life et cetera, but that sort of area with this non-public market. Because there's nothing in the pipeline was burning at the moment.
Haley Tam: Moring, it's Haley Tam from Citigroup. Some questions please. Just in terms of the bolt-ons, could you give us some idea of what financial metrics you used to assess the suitability of deployment of capital, and just so we can perhaps start to value of surplus capital more than we have in the past that would be interesting in terms of investing that kind of thing? Secondly in terms of MiFID II and the balance in retro session is to becoming through in Europe for some intermediaries, could you give us some idea of what your mix intermediate network is in Europe, and to what extent they might be affected by that? And the third and final question just quite one, in terms of costs which you mentioned that could be trailing off trials with the next year to get an idea of the potential financial impact of that and your cost base? Thanks.
Peter Harrison: Great. In terms of financial metrics, you would expect us to use all the normal metrics in terms of earnings EBITDA, and the reasonable return we tend to find that most of the deals we look at how mid-teens IRRs, now what the shape of when those IRRs come in always difficult and we also we don't want to put a huge emphasis on the terminal value saying those flows internally. The typical valuations most of them will be buying part assets of the private market obviously not the public market, and they typically trading six to 10 times EBITDA is a reasonable measure depending on the growth. But on top of that we would expect to add another layer of growth and it very much depends on market position, opportunities how built out the franchises et cetera, how much efficiencies we can take out and see whole business with a very different business from the Adveq business, see whole business had a very large back office, which we didn't need because we had a service center, so there was a big chunk of efficiencies that we could see that whereas Adveq we can see very significant growth as we went from the Germans and Swish client base to a global client base. And the investment team that can't be built out over time, although we're not going to rush that growth, because we think giving good investor outcomes is important part. So it's hard to get a precise answer, because deal has its own dynamics, but those are sorts of numbers that we look at. MiFID, we're going to we're going to have a good session of MiFID at the offsite, because it is a complex area, in fact the probably the main change we think is loss to the harness which was the fix change, as they change their models to going to a clean fee basis, so as the big banks distributing across Europe changed. What the fees that we've received rather most sessions we don't see a major change in that, but we'll pick it up more when we have the Investor Day on the 3rd of October. Richard you want to take the final one?
Richard Keers: How do you get that, that answer is making sure we're not really forecasting very much at all, because got decommission charge and got and how that is retaining historical data sets. So we think possibly not going to live or not earlier in the first half of next year, actually turning charger off entirely going to happen until quite like in the year, so next year I don't see a significant change, again after that when it's properly turned off and gone. Yeah it should give us the operational leverage that way anticipating.
Mike Werner: Thank you, Mike Werner from UBS. I have two questions. First on the private assets businesses that you've been acquiring, in terms of the piece of acquisitions, is this something that you're comfortable with and is this something that you'd like to see pick up. For example if more opportunities came or more attractive price just trying to again take a look at that usage or potential usage of the surplus capital? And then seconds on Slide 7, you show a very good equity demands coming from North America from the branded products in particular, are there specific products are selling well that you have noted as specific and was it European equities, is it global you know what products are selling well in North America? Thanks.
Peter Harrison: On the pace of progress, I think business function two things, one it's very easy when noncontiguous areas, so you've got different teams bringing integration and then not tripping out for each other. That was well and you can run a quite a good rate. Where you get them bumping into each other we'd be very nervous. So Adveq is actually a very different business from the ABS business that we do, so in ABS was about building a big research interface and real complexity in systems et cetera, was Adveq is straight forward in terms of systems to get in the distribution models right. So those you can do invest the quicker session, I absolutely don't want to give you the signal because it be wrong that this is other than a study build up process, but if three red buses came along together, so long as they weren't tripping out each other that wouldn't causes problem, I think the key constraint we have is finding businesses, which the culturally aligned where we can bring something positive, I mean that's absolutely critical that we don't kill the long term for the sake of short time experience that remain the focus. If that answer that question? And the second on North American demand, three products really stand out. If where we've got, I think the track record which over 10 years is top percentile in that competitive universe of stuff that's going very well, in emerging markets where you've got a very big franchise and in U.S. small cap, snit cap actually technically, on the three products which are strong. And we'd expect tax revenue needs to come through population here, but those the three which is meeting churn.
Gurjit Kambo: Hi, good morning, Gurjit Kambo from JPMorgan. Just again on the private markets business, I mean in general, was an asset classes in private equity debt infrastructure et cetera, and how you sort of thinking about that division, I think you just mentioned you know you don't want to even that with other businesses, but is that mean there's been a less synergies when you grow that business, because again my look at the deploy markets business, you have big U.S. bio firms, it is a number firms with smaller and they're all saying the same thing that we want to be in the mid cap space, this mid cap space, because that's competition, how did differentiate it so from that space?
Peter Harrison: Perfect. So the key - they operate in three spaces, the funds business, the secondary business and the co-invest business. And the synergies for us are not so much in those areas, but they're in distribution synergies in operation synergies, and in taking to clients a full package of products. So I think it's really important. If you have a top of the house conversation with the client, you want to go and I say, we want to help solve the bigger problem not sell you an interest. If you're going with the selling a products, the client wants our products, you go away and that's the end of the relationship. So it's actually being able to have a franchise of meaningful things you can engage which is diversifying assets for the client, and that's to what my strategy where the synergy comes from.
Gurjit Kambo: It's not just within the private markets piece or across the broader investment assets?
Peter Harrison: We tend to find the private markets, tend to trade, you tend to have ahead of private markets within a big sovereign wealth management, so it tends through within private markets. But there are also some clients we've got where the CIA will have responsibility for the whole thing and you will have an - we've got conversations going on with insurance and securities and infrastructure debt with the same people who are responsible for the multi asset mandates and the equity mandate and that clearly we've already we've got a good on trade into that business and a good standing with those plans.
Peter Lenardos: Thanks, good morning, it's Peter Lenardos from RBC. I had a question about your non-voting shares, now at the discounts on your late 30%, I guess is that something that you monitor that concerns you and can take any actions to taken into discount tomorrow historical levels? Thanks.
Peter Harrison: I'd say, I'm surprised to see the discount asset 30%, because I receive the same dividend rights that the other shares. See we also bought a lot of non-voting shares in the past and we've got to level now whether liquidity of those shares if we were to find more in would damage that even further, I think want it is an element of you create - you by them to discount and overtime you create a liquidity which creates a discount. So I think it's suddenly something that we do monitor, and it's not easy to see a quick solution to it. But it is something which is it is monitor.
Peter Lenardos: Thanks.